Operator: Good morning, ladies and gentlemen. Welcome to the Trican Well Service's First Quarter 2025 Earnings Results Conference call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Brad Fedora, President and Chief Executive Officer of Trican Well Service Limited. Please go ahead, Mr. Fedora.
Brad Fedora: Good morning. Thanks, everyone, for joining the call. Scott, our CFO will start by giving an overview of the quarterly results, and then I'll provide some comments with respect to the quarter and our current operating conditions and what the rest of the year looks like. And then, we'll take some questions from listeners. As usual, several members of our team are here with us in the room today and are available to answer any questions. I'll now turn the call over to Scott.
Scott Matson: Thanks, Brad. Before we begin, I'd like to remind everyone that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions that were applied in drawing conclusions or making projections are reflected in the forward-looking information section of our MD&A for Q1 2025. A number of business risks and uncertainties could cause actual results to differ materially from these forward-looking statements and our financial outlook. Please refer to our 2024 annual information form for the year ended December 31, 2024, for a more complete description of business risks and uncertainties facing Trican. This document is available both on our website and on SEDAR. During this call, we will refer to several common industry terms and use certain non-GAAP measures, which are more fully described in our Q1 2025 MD&A and in our Q4 2024 MD&A. Our quarterly results were released after close of market last night and are available both on SEDAR and our website. So with that, a brief summary of the quarter. My comments will draw comparisons mostly to the first quarter of last year, and I'll provide some additional commentary about our quarterly activity and our expectations going forward. Trican's results for the quarter compared to last year's Q1 were not quite as strong, mainly due more -- to more competitive pricing environment combined with some inflationary cost pressures faced in the quarter. Our schedule is always subject to client readiness and weather conditions, which serve to defer certain customer programs into Q2 of 2025. On the cost side, we felt the effects of foreign exchange fluctuations and rail surcharges during the quarter. Revenue for the quarter was CAD259.1 million, with adjusted EBITDA of CAD61.3 million or 24% of revenues. Not quite as strong as the adjusted EBITDA of CAD72.8 million or 27% of revenues we generated in Q1 2024, but still solid in this environment. Adjusted EBITDAS for the quarter came in at CAD62.3 million or 24% of revenues. To arrive at EBITDAS, we add back the effects of cash settled share-based compensation recognized in the quarter to more clearly show the results of our operations and remove some of the financial noise associated with changes in our share price as we mark-to-market these items. On a consolidated basis, we generated positive earnings of CAD31.9 million in the quarter, which translates to $0.17 per share on both a fully -- a basic and a fully diluted basis. Trican generated free cash flow of CAD43 million during the quarter. Our definition of free cash flow is essentially EBITDAS less non-discretionary cash expenditures, which include maintenance capital, interest, current taxes and cash settled stock-based comp. You can see the details of this in our non-GAAP measures section of our MD&A. CapEx for the quarter totaled CAD12.5 million, split between maintenance capital of about CAD8.8 million and upgrade capital of CAD3.7 million. Our upgrade capital was dedicated mainly to the electrification of our fourth set of ancillary frac supporting equipment and ongoing investments to maintain the productive capability of our active equipment. For 2025, we have an approved capital budget of CAD70.2 million, which will be focused on a mixture of ongoing maintenance capital and targeted growth initiatives, including that fourth set of electric ancillary frac supporting equipment and further investments in our logistics fleet and our supporting infrastructure. As we mentioned in our last call, Trican is undertaking a significant technology modernization initiative, starting with our base financial system and implementing an integrated ERP platform. We're modernizing our technology platform to enhance operational efficiency, streamline internal processes and help position the company for future innovation and growth. The investment for 2025 is still anticipated to be approximately CAD10 million, which will be presented as a component of the G&A expense in accordance with IFRS reporting standards. Balance sheet remains solid. We exited the quarter with positive working capital of approximately CAD159 million, including cash of CAD4.1 million. With respect to our return of capital strategy, we repurchased and canceled 2.5 million shares under our NCIB program for the first quarter. Subsequent to Q1 2025, we've repurchased and canceled an additional 6.6 million shares. And we continue to be active with our buyback program when market prices are at levels that provide for a favorable investment opportunity. We've repurchased and canceled 11.7 million shares to-date, representing approximately 61% of the 2024-'25 NCIB program. As noted in our press release, the Board of Directors approved a dividend of CAD0.05 per share. The dividend -- the distribution is scheduled to be made on June 30, 2025 to shareholders of record as of the close of business on June 13, 2025. And I would note that the dividends are designated as eligible dividends for Canadian income tax purposes. So with that, I'll turn things back to Brad.
Brad Fedora: Okay. Thanks, Scott. Just as a reminder, my comments will include Q1 2025 commentary and some forward-looking statements for the rest of the year. So I remind you to go to our website and read our disclaimer that's on page two of our PowerPoint presentation, our investor presentation. So overall, Q1 went pretty much as forecast. I would say, there was no surprises really at all. We had similar activity levels to Q4. And we're very fortunate that our customer list has really made great strides in the last few years with respect to level loading their work throughout the year. And so we're not experiencing nearly the same volatility from quarter-to-quarter that we grew to expect in the past. And it's great from our perspective with respect to planning and staffing, et cetera. As always, Q1 experienced the usual weather and breakup issues, but nothing that we hadn't already built into our forecast. Activity levels held, I would say, pretty well through all the news with respect to political instability and tariffs. And we're really -- and I'll talk more about tariffs later on, but I really would say that, that has not significantly impacted our business at all at this time. In general, there was -- Scott mentioned, there was a little bit of pricing pressure, which really, I think is a result of sort of a Q4 hangover for some of our competitors that had really slowed down going into the end of the year. And I would say that pretty much has stabilized for now. We always have to keep an eye on that. You never sort of know where your competitors are at from, from a pricing perspective. But I would say, in general, it's -- it seems to have stabilized. And the same with costs. They -- we've talked about this in the past. Costs have really pretty much stabilized. We're starting to see even some reductions with respect to fuel with the carbon tax and fuel surcharges. And there's other items that are -- they do go up every year. But I would say the rate of change on costs has basically returned to normal compared to sort of the post-COVID era, where we're seeing big changes from quarter-to-quarter and year-to-year, I would say it's more what we're all used to with just tiny changes from year-to-year. On the fracturing side, no changes. We're still very disciplined. We operate seven frac crews. We're -- that means that we're running about 60% of our total horsepower comparison to some of our competitors that are operating at capacity. They've even added equipment to this basin, which is -- again is unbelievable. But we will continue to be disciplined and make sure that the equipment is making money. As we've talked about before, this equipment only has so many hours on it. They're approximately seven-year assets. And so you can't sort of carve two or three years out of those seven years to not make money and sort of hide behind high utilization. So we'll pick our spots carefully and make sure that we provide a return to our shareholders every time we put a piece of equipment to work. Our operations are still very focused on the Montney, the Duvernay and the Deep Basin. I don't anticipate that'll change. As everybody knows, LNG is months away. And so I think, we're going to continue to be focusing in Northwest Alberta and Northeast BC going forward as we've been talking about before. On the cementing side, we're really -- again, I think, I'm repeating myself here, but we're very happy with the performance of this division. Clearly, the technical leader in Canada in cementing, a very wide extensive customer list. And really the only reason that companies aren't using us is we're either not present in those operating areas just due to shortage of people and equipment, but really it's probably a price issue, and we don't make any apologies for that. But we're viewed as a technical leader. And certainly, if you're in some of the trickier plays like the Duvernay, we have a 75% market share in that play, thanks to our expertise. We operated at very high utilization throughout Q1 and continue to in Q2. I think we're about 10 rigs higher now than we were at this time last year. I would say, overall, we still sort of target to have about a 35% market share in the overall basin. And that's just because, some of the plays were just -- we're not active in and -- or not yet anyway. And we target to hold a 50% market share in the Montney and the Deep Basin and a higher in the Duvernay, as I discussed. We are starting to move back into some of the heavier oil plays that we had abandoned around COVID just due to lack of staffing, and that'll take time. But again, those customers, they can view our expertise with respect to blends and equipment and they see the value offering in that very easily. Just a shout out to our group. We recently cemented a 9,000 meter liner, which is the longest in Canadian history. And this is an indication of these wells just get deeper and longer in the horizontal section and your ability to deal in these operating conditions becomes more and more important, and we're certainly seeing that in our market share. So great job to everybody in our cementing division. On the coil side, I'm going to echo some similar comments. We're making great progress in the coil division. We've been focused on growing this now for a few years. And we have intermittent starts and stops, but I would say generally it's going quite well. We're still disciplined in this. We're operating sort of seven, eight coil crews, so lots of room for growth for this division. Q1 was our largest revenue quarter ever and we had utilization over 70%. So that was a big win. I think we cycled over 1 million meters of pipe and yet we only had downtime of 1.6%. So, great job from our coil division. We sort of have a joint venture with a company called AECOs, and they have a multi-directional tool for clients operating in some of the heavier oil, multi-leg areas of the province. We completed our first job. It was an overwhelming success. So we're looking for some market share growth around that going forward as well. And again, we have great field margins in this business. We just don't have the scale that we are hoping for. And so, as we continue to grow this business, the divisional earnings and return on invested capital in the coil division will get to a level that we're happy with, and I think we're well on our way. So just for the rest of 2025, I'll make some comments. And we were happy with Q1, we're happy with Q2 to date. There's been some movement, of course, given commodity prices and just some of the political issues in the news, but nothing too significant. We're forecasting 2025 to be quite level loaded. We're closely going to -- closely watching oil and gas prices and just we're on the lookout for potential delays or reductions in our customers programs, especially on the oil side. There has been delays, but nothing significant. There's always delays every year. There's pads moving -- pads getting canceled, pads getting added. And if you're not building that kind of volatility into your forecast, you're missing something. And so, I think we have a very realistic view of this industry and we build in lots of room for movement, both in and out of the program. So we're expecting 2025 to be very similar to 2024 from an activity level. There is some pricing pressure and just some uncertainty around commodity prices. And so that always means, there's a little bit of panic in the system. And so that pricing pressure will lead to slightly lower margins like we saw in Q1. But still -- we're still operating at levels that we're really happy with. Our goal is to hit return on invested capital of 20% every year. And we're at those levels today. So, in general, I would say, even if this is a bit of a sidestep for the rest of 2025, we're still happy with the financial returns. We believe our -- we provide a premium service offering and we pursue the clients that value that. And they look for operating efficiencies, they look for something other than just price, and we try to align ourselves with those customers. And today, we've been really successful. Our top 10 customers have probably been with us for 10 years or more. And it's because it works out for their wells and incremental production, et cetera, so they do what's best for them. And so far, that's -- it's worked out really well for us. Strip. Especially on the gas side, strip pricing is very economic levels. And so, we're fairly optimistic on gas activity for the rest of the year. All of our customers are in great shape from a balance sheet perspective, and they'll spend their money wisely and methodically. So we're expecting that there's sort of a slow continuation of what they've been doing year-to-date and in past years. So we think this year looks sort of very level loaded compared to last year, and it's at similar levels. The Duvernay is working out, continues to build momentum. It's very service intensive, especially on the frac side, very long reaches on cementing and coil. So it's great for our business. It's a great opportunity to sort of showcase our technical expertise. And we're getting great response from our customers in that play. On the tariff side, there was lots of news, lots of fears about what would happen. Clearly, the 10% tariffs on oil and natural gas going into the U.S. did not get implemented. However, the Canadian government did put in some retaliatory tariffs around the auto and steel, which is affecting our business. And really the main issue there is on sand. There's tariffs that are sort of ranging in the CAD10 per tonne range, and it's -- I would say it's a little lower than that. But so far, we're sort of modeling in CAD10 per tonne, and that came into effect in early March. There's industry groups that are lobbying to have that removed. The idea is that there is no sort of Plan B. We can't access that sand from Canada. There just isn't enough capacity. So we think it's an unfair tariff at this stage, and we're hoping to get that reversed. We'll see how that goes. The tariffs have had minimal effect on cement and chemical products. Most of that is locally sourced. We purchase about CAD70 million to CAD80 million of cement and chemical products every year. Probably less than 10% of those are affected by reciprocal Canadian tariffs. The one thing we are keeping an eye on is coil. We do buy coil under the U.S. and there's talk about tariffs increasing the cost of that coil by as much as 25%, so we'll see. We don't have to buy any more coil until late in the year. We'll just keep an eye on that going forward. On the sand logistics side, that's still an area of focus for us. We think it's a great opportunity for us given our fleet and our logistics expertise. We think it's going to become a larger and larger part of the overall efficiency of our customers programs, and the profitability of the services that we provide is going to be more tightly linked to the logistics. Last mile logistics is essential to extracting profitability from the increasing sand volumes. And I've used these analogies before, but we have 50 to 100 rail cars of sand being pumped into a single well these days. So you can imagine from a trucking perspective what that means, especially giving some of the distances that we're dealing with. And so, we've been steadily building our logistics department, like our trucking department with experienced professional drivers. And we've been building, what we think is, sort of the best from a trailer equipment perspective. And I think, it's paying off. We have the largest logistics department in Canada, and I think a lot of our customers really see the value in that. And what I mean by that is, when you have a B-train of sand showing up on location every 10 to 12 minutes and being dumped into the on-site storage and then pumped down the well, any interruptions in that schedule can mean big delays. And so you have 100s of truckloads of sand showing up in a very, sort of 24 to 36-hour period. And so your ability to sort of perfectly time and plan that out can avoid a lot of downtime for your customers, which is very expensive. And so, I think they see the value in what we do, and it's been paying off. We're still looking at various technologies. The ultimate goal is 100% natural gas fueled operations in the field. And I don't think I'm going to go through this in detail. I've talked about this before. We are going to be trialing our first 100% natural gas engine this summer, and it should be ready in the second-half of this year. And we're combining it with some proprietary transmission technology that will allow us to pump at variable rates. The big challenges with 100% natural gas engines is they run at a constant rate, which is not applicable for what we do for a living. We need to build to sort of rev up and down and change pumping pressures, change pumping rates. And so, we've spent a lot of time and money on a proprietary transmission technology to help us deal with the constant rate of the engine, but with variable transmission speeds. And so, we'll trial it out in the second half of this year, and hope for the best that it's successful. When you combine those 100% natural gas engines with our electric ancillary equipment, we will be operating in essentially 100% natural gas on location, which is a big win from our customers, from an emissions and fuel cost perspective. So really looking forward to seeing how that works out. And in the meantime, we'll continue to deploy our Tier 4 DGB technology and our electric ancillary equipment until we get to 100%. But the ultimate goal is to operate with 100% natural gas fueled operations in the field. We're still obviously very excited about LNG Canada coming online. That should be in this summer. And once at full capacity, we'll be exporting over 10% of the natural gas production in Canada, which clearly will have a positive impact on pricing. And I think a lot of our customers are looking forward to that. The Montney continues to stand out as one of the best plays, if not the best play in North America on a relative basis, compared to the upside of that play from a drilling and reserves perspective. We think we're only in the sort of the second, third inning at the most. When you compare it to the U.S. plays that are on the down slope of their life cycle, the Canadian plays like the Montney, Duvernay just look better and better every year in comparison. And I think our customers are looking forward to being positioned, as well as they are. And when you combine that with LNG exports, not just LNG Canada, but Woodfibre and other facilities that are close to being online, we think the next five to 10-years in Canada look fantastic. We don't -- we're not changing our strategy. We're not changing our focus. We're going to continue to develop technology and stand out as a differentiated service provider. But we're very, very happy to be in this basin with -- especially with the customer base that we have. We're still focused on generating free cash flow, maintaining a conservative balance sheet. I think, as Scott had mentioned, we still subscribe to a differentiated return of capital strategy through the dividend and the buyback. We do buy the -- we do view the buyback as sort of internal M&A. And so, we'll scale it up and down accordingly to what the opportunities are out there on the corporate side and where we are from a share price perspective. And I think, we'll just continue to pull on those levers as efficiently as possible. We're not afraid to use our bank lines if we find something really attractive. As always, we operate effectively at little to no debt. And so, we have lots of main capacity if we find something interesting. And we'll just continue to evaluate M&A opportunities against our NCIB and our dividend going forward. But we expect to continue our differentiated strategy with hopefully growing dividends and lots of buybacks. And our corporate priorities have not changed. We want to build a resilient, sustainable and differentiated company that everybody's proud to work at. We want to invest in high-quality growth and equipment. We want to upgrade wherever we see the opportunity to set ourselves apart from our competitors and provide a consistent return of capital to our shareholders through the dividend and the NCIB when appropriate. And so we're going to continue to maintain a clean balance sheet, lots of financial discipline and just execute our plan over the next few years. So, I think, I'll stop there operator, and we'll go to questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] First question comes from Keith Mackey with RBC Capital Markets. Please go ahead.
Keith Mackey: Hey, good morning. And thanks for taking my questions. Brad, since you mentioned return on invested capital, I figured I would start there in this Q&. Target of 20%, looks like the last couple years from your presentations, it has moved from the low-20s to the high-teens. So just curious, what does the path back to 20% look like to you? Does the market need to improve? Or there are internal levers you can pull to get back to 20% return on invested capital?
Brad Fedora: Yes, both. I mean, pricing, as you can imagine, can move that number from the high-teens to the low-20s really quickly. The other thing that we've been doing a really good job of is, just getting rid of all of the redundant and spare assets that exist. Sorry, assets and real estate that exist in this company. And you know how the calculation works. If you reduce the asset base, your denominator shrinks and makes the returns higher. So we have a lot of redundant real estate, old equipment in every division that we actively try to dispose of whenever we get the opportunity. And we'll just continue to make this company operate as efficiently as possible. I mean, I think, one of the few companies that understands our cost of capital, and it certainly is not 10% or 12% like a lot of service companies think it is, it's much higher than that. And I think we can see that with the trading multiples quite easily. So, yes, it's a tough hurdle when you're targeting 20% returns on all your projects, whether internal or external. You got to sort through a lot of opportunities to find those. And the only way to get there is just to grind, grind, grind, grind, and pick your spots carefully.
Keith Mackey: Yes, got it. And just to follow-up on the asset rationalization, older redundant equipment, what inning would you say that your Trican is in there?
Brad Fedora: From an asset rationalization perspective?
Keith Mackey: Yes, seven [Technical Difficulty]
Brad Fedora: Yes, seven. Every time you get slowdowns in the -- we don't sell the equipment locally to our competitors, obviously, and so we try to sell spare equipment into the U.S. or overseas. And it sort of comes in waves and you might go through six months where there's no action at all,. And then, all of a sudden, you get an opportunity to sell a bunch of pumps or a coil unit or something like that. But it's -- you just got to keep your eyes peeled at all times. And we're almost at the stage now where -- from an equipment perspective, where we're getting to, I wouldn't say, where we want to be, but we're not that far away either. And on the real estate side, we're really close. We've really cleaned up a lot of the redundant real estate in the last few years. What have we got? I'm looking at Todd and Scott here. We got a couple of locations left to sell.
Scott Matson: Yes, two.
Brad Fedora: Two. Yes.
Scott Matson: Small one.
Brad Fedora: Yes. We've made very strong progress on both sides on the asset rationalization piece and then specifically on the real estate over the last few years as we chipped away at it. So yes, I think seventh inning is probably a good metaphor, Keith.
Keith Mackey: Yes, got it. And I feel like I ask this every quarter, but can you just talk about the potential ramp in LNG Canada related fracturing activity? Have you seen anything notable yet? What is the RFP process looking like? Any comments around that topic would be helpful.
Brad Fedora: It's been quiet. I mean, I know, I think we were all hoping for this sort of step change in activity sort of the six months before LNG became fully operational. And that hasn't been that way. There's been a slow -- sort of a slow grind. I think some of the participants are expecting to buy gas on the market opposed to having drilled it and produced it like we were hoping. But you are seeing and hearing about more long term sort of robust programs out of the participants there, like the -- there's a lot of gas behind pipe for certain of the LNG Canada participants, but some of them are still short of gas. So it's a bit of a mixture. But it hasn't been this sort of overnight step change in activity that, I think, a lot of people maybe have been modeling.
Keith Mackey: Yes. Got it. Okay, I think, I'll leave it there. Thanks very much.
Brad Fedora: Thank you, Keith.
Operator: [Operator Instructions] The next question comes from John Gibson with BMO Capital Markets. Please go ahead.
John Gibson: Good morning, guys. Thanks for taking the question. First one, we saw a big merger -- a Canadian producer merger in the Montney and Duvernay close today, I guess. I was wondering if that has impacted your activity level, schedule or client base as we move forward? Or is it still a little bit too early?
Brad Fedora: No. I mean, generally I would say, it's positive for us. We worked for both companies. On the cementing side, the combined co won't run as many rigs as the two individuals were in aggregate. So we'll lose some rigs from us on the cementing side, but probably pick up more frac work. So you got to -- you have to expect these things. And I think we've done a really good job of being closely aligned with the companies that are likely to buy versus sell. And this is a perfect example of that. We had worked more for White Cap than we did for Barron from a revenue perspective, just because the fracking is so much bigger than the cementing. But yes, we're -- I don't -- we're not -- it's -- it is what it is. You have to expect something like that happening a couple times a year. So we're not worried about it at all.
John Gibson: Okay, got it. You've previously spoken for an update for M&A and you pointed to cementing as needing more scale. Is this a line you could focus on in terms of acquisitions or even grow fleet organically?
Brad Fedora: Yes, we have spare -- sorry, John, that -- you said cementing, right?
John Gibson: Yes.
Brad Fedora: Yes. We have spare capacity -- spare equipment capacity. We don't have the staffing capacity. So we are going to continue to try to grow it in the eastern areas that we had previously been active in. And we'll just have to sort of slowly but surely staff up and maybe we'll have to open up a base or a couple of field locations or something like that to provide support. But yes, I'm not terribly optimistic on the M&A side in cementing. There's only a few key players in Canada. And I don't get the sense that any of them are for sale. But we have active files on every one of our competitors and every one of our divisions, so we're always looking at everything. So anything's possible. But it's not something, I think, we can sort of rely on as part of a business plan is to complete M&A in any division, frankly.
John Gibson: Okay, got it. Just a quick one to end here. Is CAD10 million a good run rate over the next few years to think about for technology investments? Or should we see that sort of step down in years sort of two and three?
Brad Fedora: It's better. Yes. You didn't see the glance I got there. But I mean, this project, it's going to be a multi-year project as we go forward. So there will be some spend next year as we work our way through it. I mean, I would use that as a run rate for now, and then we can adjust it as we go.
John Gibson: Okay, great. Thanks, guys. I'll turn it back.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Fedora for any closing remarks.
Brad Fedora: Okay, thank you everyone for your time. If you have any more questions, please call. We are available for today and the rest of the week, if any other questions come up. Thank you again.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.